Junko Oike: [Foreign Language]. Thank you very much for joining Advantest Corporation's Financial Briefing for the Third Quarter of Fiscal 2024 despite your busy schedule. I'd like to introduce the attendees on our site today: Mr. Douglas Lefever, Representative Director, Senior Executive Officer and Group CEO; Mr. Tsukui, Representative Director, Senior Executive Officer, President and Group COO; Mr. Mihashi, Senior Executive Officer, CFO, CSO, Executive Vice President of Corporate Strategy Group; and Mr. Nakahara, Executive Officer, CCRO and Executive Vice President of Sales Group. Serving as a moderator for today's session, I am Oike of IR Department of Corporate Strategy Group. In this financial briefing, Mr. Lefever will first report the summary of today's presentations. After that, Mihashi will report financial results for the third quarter of fiscal 2024. And then Lefever will present fiscal 2024 outlook before entertaining questions from the audience. We will close this session at 5:30 Japan time. In today’s financial briefing we will use English Japanese simultaneous interpretation. If you prefer to hear the original audio for both Japanese and English you are going to have to change the setting. Please join us with the default setting. If you prefer Japanese language channel you are kindly requested to click the globe icon on lower left of the web screen and select Japanese in the menu of interpretation language. If you slide the bar above to the far right end interpreter, you will hear interpretation into Japanese when the original language is in English. And today's presentation materials are posted on TVnet and our website. The audience joining us through a telephone line is kindly requested to download the materials. During today's briefing we will project Japanese version of the materials on the screen. The audience who prefer to see the English version is kindly requested to download English materials. Before we begin, I'd like to remind you that today's briefing contains forward-looking statements, all of which are subject to risks and uncertainties that may cause our actual result to be different from those in such forward-looking statements. [Foreign Language] So firstly, Mr. Lefever will present a brief summary including outline of third quarter of fiscal 2024. Lefever San, please.
Douglas Lefever: Hello to everyone. I'm happy to welcome you all to our call. Let me start by providing an overview of today's presentation. Our FY2024 third quarter sales, operating income and net income all posted record highs on a quarterly basis. As of late, we have seen further growth in tester demand for AI-related high performance semiconductors, especially for SoC. Given that we are able to meet this strong tester demand, we have revised our full year earnings forecast for FY24 upwards. I will give the details of this later in the presentation. As we look into calendar 2025 while the second half is unclear, as usual, we expect tester demand to remain strong. Tester demand for markets other than AI-related semiconductors is still taking time to recover, but strong demand for the AI-related semiconductors is expected to continue against the backdrop of increasing semiconductor complexity and production volume. I will also give some further details of this later in the presentation. Now Mihashi San will explain our third quarter results. Yas please.
Yasuo Mihashi: Thank you Douglas San. So this is Mihashi. I'd like to talk about the results of the third quarter of fiscal 2024. So please refer to page 5 please. This is the third quarter summary of results. I will now explain the results of the third quarter fiscal 2024. In the third quarter we achieved record breaking sales and profit, as Doug said earlier. Operating margin exceeded 30% for two consecutive quarters as shown on the slide. Details of result will be explained in the following pages. On page six, this shows the summary of results. Semiconductor component test systems first of all, SoC tester sales for JPY113.0 billion sustaining high level of sales as in the second quarter. Robust tester demand from HPC/AI-related applications mainly drove the sales with some contribution coming from edge AI-related demand. Sales for mature process products, such as those for automotive and industrial equipment, remained soft. Memory tester sales were JPY54.6 billion, an increase of JPY18.7 billion quarter-over-quarter. Sales for DRAM wafer test, particularly for HBM have increased as well as for DRAM final test. Next Mechatronics Systems. Sales of device interface increased quarter-over-quarter in tandem with increased sales of testers. As for services, sales of Service, Support and System Level Test business remain nearly flat quarter-over-quarter. Could you go to page 7 please? Tester sales by region. For Taiwan, due to strengthened quality assurance requirement for high-end SoC semiconductors from several US fables companies, sales to the related foundries and OSATs increased further in the third quarter. South Korea, China, memory tester sales increased sequentially for DRAM. You should turn to the page 8 please. The third quarter sales, gross profit and operating income. Due to a high level of sales booking, the operating margin exceeded 30% as in the previous quarter, as I said earlier. On the other hand, gross profit margin decreased quarter-over-quarter. This is mainly due to changes in the product mix and the recording of inventory valuation losses on testers for non-AI applications where demand is soft. SG&A, including all other income and expenses, was JPY49.7 billion, mainly due to an increase in expenses associated with increased sales. Next page, here you can see cash flow and the R&D. R&D expenses, CapEx and D&A are illustrated on the slide. CapEx increased compared to the second quarter. This was mainly due to investments related to the execution of operational excellence initiatives as outlined in our Third Mid-Term Management Plan. On the right you can see cash flow. Operating cash flow and free cash flow increased, reflecting high levels of sales and profits. Next page please. This shows balance sheet for the end of December 31st. Inventories decreased quarter-over-quarter due to progress in our product shipment. We will continue to work on inventory management, considering the uncertain business environment in light of geopolitical risks and other factors. As announced today, the share repurchase program has been completed. The total number of shares acquired was about 5.71 million shares, for a total cost of about JPY50.0 billion. We have achieved the target announced in October. We will continue to work on balance sheet management while optimally balancing growth investment and capital efficiency. This concludes my presentation. Now I will hand over to Doug who will go over the FY2024 outlook. Doug San please.
Douglas Lefever: Okay, let me start by first explaining our business environment. The semiconductor market in 2025 is expected to continue to be driven mainly by AI-related demand as it was in 2024. Unit volumes continue to increase as more wafer and advanced packaging capacity is coming online. At the same time, device complexity is driving increased test content. On the other hand, uncertainties about the future are continuing due to rising geopolitical risk and we continue to monitor these carefully. Based on this business environment, I will now explain the outlook for the semiconductor tester market. We have revised up our market size estimates for calendar year 2024, primarily reflecting the expansion of our tester supply capabilities. For 2025, we estimate the SoC tester market size now to be between $4.2 billion to $4.8 billion and memory testers to be in the range of $1.7 billion to $2.2 billion. While the recovery and tester demand for applications other than AI, such as for automotive and industrial equipment is expected to take more time, robust demand is expected to continue for AI-related applications. Now let me share the details of our FY2024 forecast. We are revising our full year forecast upward as shown on this slide. We now estimate sales of JPY740 billion, operating income of JPY226 billion, income before tax of JPY225 billion, and net income of JPY167.5 billion. The upward revision of sales mainly reflects our timely procurement enhanced supply capabilities which were achieved through long-term agreements and diversification of the supply chain of our core parts. Our enhanced supply capabilities enable us to meet additional unforecasted demand alongside the ongoing strong demand for testers and AI-related applications, particularly for SoC in the fourth quarter. In addition, the yen depreciation has been a tailwind. The gross profit margin for the full year is expected to be around 56%, slightly up from the previous forecast. In order to solve the challenges that our customers are facing in the increasingly complex semiconductor industry, we will continue our R&D and investment efforts to enhance the added value of testing, particularly targeting high growth areas. These efforts include the development and evaluation of new test solutions. The exchange rate assumptions for fourth quarter are JPY140 to the US dollar and JPY155 to the euro. The latest forecast for the impact of exchange rate fluctuations on operating profit for FY24 is an increase of JPY1.3 billion for every one Japanese yen of depreciation against the US dollar and a decrease of JPY300 million against the Euro. Our year-end dividend forecast is JPY20 per share. Combined with the interim dividend of JPY19, our annual dividend forecast is now JPY39 per share, which represents a dividend hike of JPY4.75 year-over-year. Next, I will explain the details of the sales forecast. First, let me discuss the semiconductor and component test system segment. For full year FY24 SoC tester sales forecast is JPY408 billion. That's an upward revision of JPY84 billion from the October forecast. Our efforts to improve supply chain management in order to keep up with the delivery requirements of HPC and AI customers have enabled us to increase the pace of supply. As a result, we have revised up our sales forecast. Our memory tester sales forecast is now JPY 155 billion. That's an upward revision of JPY9 billion from the October forecast. The improvement of our product supply capabilities has been showing progress -- steady progress every quarter. By responding to customers’ robust investment appetite for DRAM in a timely manner, we expect to achieve sales growth. Now let me talk about our other business segments. First, for our Mechatronics business, in FY24, we have adjusted our sales forecast to JPY68 billion. With tester sales growth, our device interface sales are expected to increase year-over-year. We also anticipate solid sales of our nanotechnology products. In FY24, our service, support and other sales forecasts is now JPY109 billion. For support services, firm demand is anticipated due to the steady growth of our installed base. In our SLT business, sales are expected to be roughly flat year-over-year, as smartphone demand remains soft. Meanwhile, we continue our efforts to expand our customer base in order to achieve mid-to-long sales growth in this area. In the segment of HPC/AI, the increasing complexity of semiconductors and high reliability requirements are driving new demand for SLT, burn-in and high-quality device interfaces. In SLT, we have won several new customers and expect to see this begin to contribute in the second half of our fiscal year 2025. For our test board consumable business, we have now brought our Taiwan factory online and are ramping production for high performance products. Finally, I want to touch on a couple of strategic partnership agreements. We announced on January 9 that we have formed strategic partnerships with both Technoprobe and FormFactor. These partnerships involve both technology and manufacturing collaborations. Investments in and partnerships with two of the major probe card manufacturers ensure that customers have access to the best wafer test solutions. Increasing test complexity is becoming an industry challenge, especially for HPC-related semiconductors. As we have explained in our Midterm Management Plan briefing in June last year, in order to solve this challenge, we intend to form an ecosystem to provide higher performance test solutions to our customers. Therefore, we expect to continue expanding our partnerships and adding key partners into this ecosystem. Then, one last thing, as for any potential impact in our business from the recent news related to DeepSeek or other AI models, it really is impossible for us to comment at this time. As of now, we have seen no indications from our customers of changes to their forecast. Having said that, the AI-related market is exhibiting remarkable progress and we continue to keep a close eye on this development. As a general rule, we feel progress of AI development, including that of different AI models, has long-term positive implications on semiconductor demand and our test solutions. This concludes my presentation. Thank you for your attention.
Operator: [Foreign Language] Now we'd like to start the questions and answer session. [Operator Instructions] As we use a Japanese-English simultaneous interpretation, you are requested to speak slowly and concisely. It is highly appreciated if you could refrain from asking questions regarding specific companies and we will take questions both in Japanese and English. The first question comes from Yoshida San, CLSA Securities. Please go ahead.
Yu Yoshida: My question, I'd like to ask about market share. What market share do you expect for 2024 in both SoC tester and memory tester, and then do you anticipate these market shares changing into 2025? I've heard that your competitor has recently commented about the adoption of their testers by custom ASIC clients. So do you think the market is becoming more competitive? Thank you.
Douglas Lefever: Sorry, switching mics here. Yeah, we will be announcing in April about the final market share numbers for calendar year 2024. What I can say is that we are tracking at or above our midterm plan target which was 58% or greater, so we are very confident that we're tracking to the plan for calendar year 2024. As for 2025, we do see some upside growth in our market share as well and that will come from the addition of additional AI-HPC customers, many of which are in that Mag 7 and associated custom ASIC partners. So I can't comment on what our competitor is saying but that's the view from our company.
Yu Yoshida: Thank you. Just one follow up question. Do you include the die-level test market for the 2025 market outlook?
Douglas Lefever: I think the 2025 is a little premature to have any significance for the die-level probe, die-level handler market. We're seeing just initial evaluations going on in this year and so for large quantity production level business we would probably see that in the following year.
Yu Yoshida: Thank you, that's very helpful.
Operator: [Foreign Language] Thank you Yoshida San. We'll take next question. [Indiscernible] please go ahead.
Unidentified Participant : [Foreign Language] Thank you. I'll ask a question Japanese. On page 12, this is CY25 [Indiscernible] and there are bullet points saying that there is increasing uncertainty about the future, so what the backdrop for this? Are there specifics you have in mind? And it seems that your TAM 2025 time estimate range is whether you want -- what kind of scenarios do you have in mind for the minimum and the maximum numbers? And in terms of visibility for second half of 2025, do you have input visibility now?
Makoto Nakahara: [Foreign Language] Thank you. This is Nakahara speaking from Sales. So with regards to our first question it was about CY25 in relation to increasing uncertainty in relation to geopolitical risks. So we have sales over the world and given the current situation, let's say, the China-US risks, these are all fast changing matters and so things are still uncertain so we have to keep a close eye on this. And then quarter’s 2025 TAM estimate, your question was about the range, right. So I would say like recently the market is fairly dynamic and from maybe the late 2025 for high-end logic there'll be launches of next generation devices and there would be a change in process of the time and, on top of that, the memory that goes with it will be also next generation and there'll be a higher stack. So it's similar to what we experienced in 2024. It's hard to say to what extend complexity is going to increase. It's very hard to predict. So, in that sense that the broad - we came up with this range long-term. Did I answer all your questions? Did I? Are you okay?
Unidentified Participant : [Foreign Language] Sorry, I was on mute. So finally for associate test for CY25 like compared to 3 months ago, how has the second half 2025 outlook change, particularly for high end SoCs.
Yasuo Mihashi: So I think compared to our last earnings call I would say for SoC for CY25 three months ago midpoint was JPY3.95 billion but this time our midpoint is JPY0.5 billion. As Doug talked about earlier, there'll be an increase in device volume and also complexity is a complexity -- increasing complexity factor. So I would say both, all the market is likely to increase and in terms of half on half volume, say for the first half, you know we have better visibility for the first half versus the second half. So for the second half, as I said earlier, given the upcoming launches of new devices, hard to say or hard for us to predict the extent of the complexity implications. Thank you.
Operator: [Indiscernible] San, thank you very much. Next question comes from Morgan Stanley’s Wadaki San.
Tetsuya Wadaki: [Foreign Language] Thank you. So I was saying what's wrong with the momentum for this fiscal year because given how strong this year is, maybe next year is going to be a higher hurdle and there'll be a lot of news flows in the media about yield of advanced packages and you see benefited from very strong demand this year given very low level yield and so testers have benefited. But honestly it means that the problem for next year is going to be higher, you might have to suffer from a drop. What do you think? Mihashi San or Nakahara San?
Makoto Nakahara: This is Nakahara speaking. So in terms of the high base you'll be facing next year in relation to strong benefit that you received from this year, the feedback that we have – we’ve been speaking with customers and in terms of quality improvement and in terms of improvements on package side, that's what we heard from customers and so -- but if we take this into account current volume and also given the complexity of next generation devices, CY25 would -- is likely to face an increase -- see an increase.
Tetsuya Wadaki: And so additionally, I would say my follow up question is that the recent surge in tester demand due to yield is still sustainable because of quality assurance. Customers still have strong appetite, we'll continue to invest in testers, is that correct?
Makoto Nakahara: So in terms of existing generation devices, whether it's SoC or memory, there should be -- there is yield improvement, quality improvement that may result in test production. But at the same time in 2025, as next generation devices ramp up, there'll be new challenges that will emerge that would have quality implications that may impact tester demand. So these are the scenarios that we have taken or factored into.
Douglas Lefever: I think I understand the question now, Mihashi San, thank you. I think if you're asking about what's going to trigger the slowing of the growth that we're experiencing right now, we don't see it so much because there's many factors involved in these advanced package SoCs. For one thing, there's going to be continuation of Moore's Law, so there's going to be more transistors, which will lead to increased test times. As far as chiplet goes, it's just beginning now. Sure, the advanced packaging has memory stacks and central processing and GPUs on it, but as those go into more of a chiplet environment, we expect to see more insertions happen at the wafer and the die level, which will have complexities. And then beyond that there's even more things being added to the 3D package and silicon photonics is to be something that comes new which will add another layer of complexity. So we don't really see complexity slowing down at all. And the appetite for additional test is still quite high because of the expense of these packages and the ASPs of these devices. So sure, there's going to be certain times where there's not as much of increase as a prior generation, but there's going to be an increase. And what I'll say is that increase is coming on a larger fleet, a larger install base. So, as we proliferate more test systems into the field, even small increases in test content are going to lead to large levels of capacity increases, assuming that the volumes stay the same or even increase. So hopefully that helps to add a little additional color.
Tetsuya Wadaki: Thank you. [Foreign Language] Thank you.
Operator: [Foreign Language] Thank you. Next question Mikio San from BOA, please go ahead.
Mikio Hirakawa: [Foreign Language]
Unidentified Speaker: Hirakawa San, I think we were not able to hear the first part of your question. So please start again.
Mikio Hirakawa: This is Hirakawa. So, you said about launches of new generation devices from supply chain. There are views of comments that are different from what's been said before. So based on these changes, like, based on these changes, was your earnings impacted for the fiscal year ending March 25? Should we forecast these changes?
Douglas Lefever: I want to make sure I understand, Hirakawa San, the question. I think in fiscal 2024 we're able to address some of the additional demand because we opened up our capacity through supply chain and production. And I believe you're asking if we will see that continue for 2025, if that will have an impact, and the answer is yes. We're always looking at our supply chain for component procurement and our ability to meet the customer demand. Right now we're stress testing our production to see the levels at which we can achieve even further growth. And we feel very comfortable right now with what we are doing in our supply chain. So we don't see any constraints to meeting our fiscal 2025 demand. So I'm hoping that -- sorry for the Japanese --
Mikio Hirakawa: Sorry for my apology for my indirect question. The direct question is that we hear that there's a kind of a change in testing time in some -- in the supply chain. And my question was, did that give an impact to your revenues or not? And also is it going to give some impact and that has it given the impact to your CY25 SoC tester demand? That is actually my question.
Douglas Lefever: Oh, it's not about our procurement supply chain.
Mikio Hirakawa: Sorry about that.
Douglas Lefever: I understand that. Yeah. The answer is no. I think I understand what you're referring to.
Mikio Hirakawa: Yeah.
Douglas Lefever: And we don't see any of that right now, so we continue to see test content increase and so we're preparing ourselves for additional increases for next generation devices.
Mikio Hirakawa: Sure. Thank you very much.
Operator: [Foreign Language] Thank you, Mikio San. Next, Tokai Tokyo Intelligence, Kamisaki San, please go ahead.
Shoichiro Kamisaki: [Foreign Language] In regards to the actual result for associate testers and memory testers, so starting with associate testers, it was flat QonQ for memory testers. While QonQ growth rate seemed to have accelerated, in Q3 what kind of trends -- what kind of differences did you see between SoC versus memory testers?
Yasuo Mihashi: With regards to generative AI that's giving us good strong demand for both SoC and memory. SoC, here you can see green colors that shows that memory tester shipment is growing a lot QonQ. So this is basically a reflection of delivery timeline requirement from customers. Many of our customers are international customers and so they do business on a calendar year basis. So in Q3 we saw a lot of requests concentrated and so our shipment wise we did our best to try to meet their delivery deadlines.
Shoichiro Kamisaki: Thank you. Well, demand wise, did you -- so you're saying that you didn't see a change in demand in Q3, right?
Yasuo Mihashi: Well, SoC does enjoy -- is facing strong demand but I wouldn't say there were outstanding like very strong changes in Q3.
Operator: Thank you, Kamisaki San. Next Okasan Securities, Shimamoto San, please go ahead.
Takashi Shimamoto: [Foreign Language] My question is about the breakdown of SoC TAM estimate. If possible, I would like you to extract the AI part of TAM for CY24 and CY25. If it's difficult, then I think you have a breakdown usually between computing, communications versus automotive, industrial, consumer, DDIC. I think in FY24 the split is 90% versus 10%. For 2025, what kind of split do you expect for computing, communications versus auto, industrial, consumer, DDIC?
Yasuo Mihashi: [Foreign Language] Well, regarding TAM, it is difficult to for us to extract just AI. So in terms of our categorization which is computing, communications versus automotive, industrial, consumer, DDIC, I would say that maybe the split is approximately 70/30. So 70 is computing, communication, just a small part figures, but in terms of our sales split it is different. But computing communication is by far the largest.
Takashi Shimamoto: Thank you. As a follow up question, you said 70/30 split. Like was that 2024, is it likely to be similar for 2025?
Yasuo Mihashi: Well, for 2024 and 2025 I would say the split is more or less the same, so growth rate then would be similar for both, right.
Takashi Shimamoto: Then yes. Thank you.
Yasuo Mihashi: Also the split 70/30 split will not change, but then the denominator is different, so there should be some difference between computing, communications versus automotive, industrial, but that 70/30 split should remain valid.
Takashi Shimamoto: Like when you say it might be different, are you saying that computing, communications will be a high -- show a higher growth rate?
Yasuo Mihashi: Yes, that's correct because the denominator is larger.
Operator: [Foreign Language] Shimamoto San, thank you. Next, Macquarie Capital, Damian please.
Damian Thong: I'm going to ask this in English.
Operator: Yes.
Damian Thong: Thank you so much. Thanks very much Doug for the great set of results. Actually, congratulations. I just want to follow up on the partnership with Technoprobe and FormFactor. Could you contextualize -- maybe it's a bit early for next year, but let’s say 2026 and 2027, would you see the push into tests die or wafer as being additive to the tester market. Would you see efficiency gains as actually being in some senses leading to efficiency gains that will reduce the size of the market? Could you perhaps talk a little bit about the implications of the deal and how you feel about the long term growth trajectory?
Douglas Lefever: Yeah, sure, sure. Thank you, Damian. Thank you for the nice comments for our results. So yeah, certainly for the next couple of years we see definitely a shift left. As much testing that can be done at the wafer or die level is going to help with the end product yields. As to more efficiency in those wafer sort operations, actually, we see more insertions across the wafer sort area and the reason for that is because there's just more sophistication, more complexity. At the die level, for example, in order to have a real KGD, you need to have very, very good thermal solutions in order to do accurate die-level testing. And so that involves a lot more complexity in the handling and the testing operation as well as the associated probe cards that go into those insertions. So the reason that we developed these partnerships and by the way, we had very, very deep relationships with both these companies as well as other probe card companies in the industry. But the reason that we made these partnerships at this point was because of the complexity situation of needing to have close technical collaborations because it's no longer a tester and a probe card and a prober or a handler, they have to be looked at as a total solution, as one test cell. And so the deep collaborations have to become even deeper and so we felt it was necessary now to develop these relationships with these companies to address those complexities. 2026, 2027 is hard to tell if there will be efficiency gains, but we do know that there's going to be more opportunities in the wafer sort area. That being said, the final test and the system level tests are also increasing in their importance because that's the place where the actual -- all of the dielets or chiplets become together and the test times get extended and that's where the final test and screening happens. So those are also extremely important insertions. So hopefully that gives some color to your question.
Damian Thong: Thank you. So my impression would be that you consider essentially this would be to be accretive to your overall -- to the overall TAM opportunity. Would that be correct?
Douglas Lefever: Well, it's not accretive or dilutive. It's really a partnership with these companies to make sure that we're offering our customers the full solution set for -- in this case for wafer sort or die sort. And yeah, our partnerships involve equity investments in some cases and so we have skin in the game, so to speak with these companies to make sure that we're partnering at all levels, at the executive level and at the technical levels.
Damian Thong: Got it. If I may just one additional follow up, a short one. So obviously this is I would say kind of a unique situation. I mean that I'm just wondering how this places Advantest in relation to your primary competitor given that if you deliver this solution on time and to meet the customer needs, you would essentially be ahead of the competitor. I just can't see why a customer would have two solutions of this nature. It essentially be an industry standard of sorts. Would you think that's overstating the case? Thank you. That's it.
Douglas Lefever: Yeah, I mean I think we're doing this for the customer benefit which is to develop the right solutions at the right time for our customers. And so right now we're in a very good position with our testers. You know it's hard to express it as industry standard but in some cases we're driving towards that. And so the mission for us is to make sure that we drive integration on behalf of our customers and that would extend to the probe cards but also extends to other parts of the ecosystem that go into our test solutions. So we expect to do more of these kind of things in order to accurately partner for our customers benefit.
Damian Thong: Thanks very much Doug. I appreciate that.
Operator: [Foreign Language] Thank you, Damian. We'll take the next call from Yoshioka San from Nomura Securities.
Atsushi Yoshioka: [Foreign Language] Hello, this is Yoshioka speaking from Nomura. My question will be about edge AI devices. In the initial presentation you said edge AI devices contributed to third quarter associate tester business. So my question is that for 2024, to what extent did you see benefits from edge AI? Previously AI accelerator was the main driver for longer tester time -- test time but with edge AI is also pushing test time longer as well and how is that taking place? Finally for 2025, you presented the associate TAM outlook. Does that -- like how much have you factored in contributions from edge AI?
Douglas Lefever: Thank you, Yoshioka San. Our business is still being driven largely by data center AI and that the customers can imagine. As far as edge, we have seen some goodness in edge compute when it comes to some of the consumer electronics in the handsets. A lot of the handsets now are equipped with a lot of AI compute capabilities and so that is leading to some business upside, but it's clear that most of our business is going into more infrastructure level AI. Moving forward, we do expect there to be some additional business in FY25 that is related to the edge, but I do believe by and large in 2025, you'll still -- the lion's share of our business will be driven still by AI data center business. I think also it's important to mention that the definition of edge AI originally everyone was thinking, a, it's going to be in PC, tablet, phones and more, the consumer applications, and I think what we're seeing now is that AI at the edge will really extend into kind of industrial applications and so there's a lot of work being done. Like for example in the area of robotics, people are talking about billions -- millions if not billions of robots having edge compute. So our definition of edge compute really needs to evolve not just into the consumer space like handsets, but into other things and ultimately there be the potential for the full humanoid and autonomous vehicle level of edge compute. But the edge compute definition is definitely now evolving which will be good for the volume of AI-based semiconductors.
Atsushi Yoshioka: Thank you. How about testing time or test time for edge AI semiconductor get longer than general semiconductors,
Douglas Lefever: It will be longer than what historically has been at the edge. So if you looked at an AP handset, certainly the test times are going to be extended because those devices are becoming more complicated and have to run different kinds of workloads and so there will be extension. Now I don't believe that the test times are going to be anywhere equivalent to what we're seeing on the data center side. And that is a function of how complex the devices are as well as the economics behind the edge versus infrastructure business.
Atsushi Yoshioka: Thank you for your answer.
Douglas Lefever: Sure.
Operator: [Foreign Language] Thank you, Yoshioka San. Well we are close to the end of hours, so we'll just take last question. UBS Securities’ Yasui San, please go ahead.
Kenji Yasui: Hello, this is Yasui speaking from UBS. I have one question. For 2025 for SoC Tester demand driver, would it be GPU or custom ASIC, which would be a bigger driver for FY25 from Advantest perspective? And also from TAM perspective, would it be ASIC versus other devices?
Douglas Lefever: This one is sensitive so it's really difficult for us to disclose. What I mentioned before is that we work with all of the, what we call, the Mag 7 companies who are developing their own silicon and also the partners that they have in the custom ASIC. So it's difficult to say depending upon the application that they're working on, co-working. So I apologize but we could not elaborate further on that business segment.
Kenji Yasui: Can you elaborate a little bit more on the custom ASIC side only? I think you don't need to explain each specific customer but ballpark number 2025, 2026. I think last year Advantest just mentioned you have involved in the many major product -- projects and do you have better outlook compared to last year?
Douglas Lefever: Yeah, we're very bullish and positive in this custom ASIC business. And as far as trying to quantify the TAM size, probably the easiest way is to point you to some of the public statements about the TAM of those customers and what they see for their business and then apply some test intensity to that. Those test intensities will be probably higher than the average test intensity and so you can do some math based upon on some of the recent reports on the TAM size for those custom ASIC companies.
Kenji Yasui: And one last follow up question regarding the market share, within customer ASIC, do you assume you gained market share or flattish or down this year?
Douglas Lefever: We assume we will gain.
Kenji Yasui: Thank you very much.
Douglas Lefever: Sure.
Operator: Thank you, Yasui San.
Operator: We apologize for difficulty with audio, especially for the translator channel. We will conclude the third quarter briefing. Thank you for your participation.